Operator: Hello, and welcome to the Group Bouygues 9 Months 2025 Results Call. [Operator Instructions] Now I will hand the conference over to Frederique Delavaud, Head of Investor Relations. Please go ahead.
Frederique Delavaud: Good morning, everyone, and thank you for joining us for the presentation of Bouygues 9 months 2025 results. This presentation will be led by Pascal Grange, Deputy CEO of the Bouygues Group; Stéphane Stoll, who, as you know, was appointed CFO of the Bouygues Group beginning of August; and Christian Lecoq, CFO of Bouygues Telecom. Following their presentation, they will be answering your questions. Pascal, I'll let you start this call.
Pascal Grangé: Thank you, Frederique, and good morning, everyone. Before listing our highlights, I would like to recall that, as we have already mentioned since the beginning of the year, the global macroeconomic and geopolitical environment remains very uncertain, notably in France. That being said, I want to highlight that group expects for 2025, a slight increase in sales year-on-year, excluding exchange rate effects and a slight increase in COPA year-on-year. These expectations are reflected in the group's 9 months results that are strong. Looking at the main indicators for the 9 months, we can see that. First, group sales were up 0.9% year-on-year, notably driven by the construction businesses. Q3 group sales were stable year-on-year given ForEx, which had an impact of around minus EUR 50 million over the quarter. Second, COPA increase year-on-year was notable in the first 9 months 2025. The increase was driven by the construction businesses and Equans. Third, excluding the exceptional income tax surcharge for large companies in France of EUR 60 million, the net result attributable to the group was up year-on-year. I'll remind you that the effects on the net profit attributable to the group of the French Finance law and the Social Security Financing law, which was passed during the first quarter of 2025, including mainly the exceptional income tax surcharge for large companies in France had been estimated at around EUR 100 million for the full year 2025. This is still our evaluation to date, and EUR 80 million already been recorded in the first 9 months 2025. Fourth, the group benefits from a particularly robust financial structure. At end September 2025, our net debt improved versus end September 2024. And in September [Technical Difficulty] Standard & Poor's revised our negative to stable the outlook associated with its A- credit rating. Let's now have a look at our key figures on Slide 5. Group sales in the first 9 months [Technical Difficulty] '25 stood at EUR 41.9 billion, up 0.9% year-on-year. This increase was notably driven by Bouygues Construction, Colas and Bouygues Telecom with the contribution of La Poste Telecom. In the first 9 months '25, the group COPA increased by EUR 95 million year-on-year and reached EUR 1,814 million. This increase was led by the construction businesses on Equans, TFA and Bouygues Telecom [Technical Difficulty] COPA being down year-on-year. The net profit attributable to the group was EUR 675 million. This amount is not comparable to that of the 9 months 2024 as it includes the exceptional income tax surcharge for large companies in France, minus EUR 60 million. Excluding this surcharge on a comparable basis, the net profit attributable to the group would have been up EUR 48 million year-on-year at EUR 735 million. Last, Net debt was EUR 7.6 billion, an improvement of EUR 856 million year-on-year. This is a very good performance, in particular, if we consider the amount of net acquisitions made over the year, mainly including Bouygues Telecom's acquisition of La Poste Telecom for almost EUR 1 billion. This is a theoretical vision, of course. But without these acquisitions, our net debt would have been improved by EUR 1.9 billion year-on-year. Let's now turn to the review of operations [Technical Difficulty] on Slide 8. Let's begin [Technical Difficulty] in the construction businesses. You can see that at end September 2025, the backlog was at a very high level of EUR 32.1 billion, providing good [Technical Difficulty]. Looking into details on Slide 9, let's start with Colas backlog, which was up EUR 1.4 billion year-on-year at EUR 14.2 billion, with Rail backlog up 31% year-on-year. In roads, the backlog was up 2% year-on-year, of which French and international backlogs were respectively down 3% and up 4% year-on-year. At constant exchange rates, the backlog was up 12% year-on-year. To be noted that the backlog [Technical Difficulty] to be executed in the current year and next year was up around EUR 400 million year-on-year. At Bouygues Telecom -- Bouygues Construction, the backlog stood at EUR 17.2 billion, down EUR 0.7 billion year-on-year, but stable compared to end June 2025. Civil works was down 14% year-on-year. And in building, the French backlog was up 12%, and the international backlog was up 1%. At constant exchange rates, the backlog was down 3% year-on-year. It is important to notice that EUR 17.2 billion is a very high level of backlog. At end September 2025, the backlog to be executed in the current year and next year was down around EUR 200 million year-on-year. However, additional significant contracts are expected by mid-2026, notably internationally, which will support the level of the backlog. In that respect, you probably read this morning that Bouygues Construction will carry out the civil engineering works for two new EPRs at Sizewell C nuclear power station in the U.K. as part of a civil work alliance. The share of Bouygues Construction in this construction is estimated at around EUR 3.3 billion. This is [Technical Difficulty] very good news. To be noticed that the scope of works will be carried out through the delivery of a series of work orders, and so Bouygues Construction will book the related orders as they are instructed starting from [Technical Difficulty] fourth quarter. [Technical Difficulty] at Bouygues Immobilier, the backlog was at EUR 0.7 billion at end September 2025, down EUR 0.3 billion year-on-year. The decrease of around EUR 70 million in backlog since June 2025 is mainly due to the deconsolidation of activities in Poland in July 2025. Moving to Slide 10. I will make a few comments on the strong commercial activity in the construction businesses. First, at [Technical Difficulty] level, the order intake [Technical Difficulty] was at EUR 10.8 billion. In Road activities, this order intake was slightly up with a slight decrease in Mainland France as expected in the pre local elections here, and it was up [indiscernible] internationally with significant [Technical Difficulty] awarded in Q3 in Morocco, in the U.S. and in Canada. In Rail, the order intake was up strongly in the first 9 months with also notably a significant contract awarded in the U.K. in Q3. Then [Technical Difficulty] construction level, the order intake in the first 9 months reached EUR 6.8 billion, driven largely by the contracts of less than EUR 100 million. Several large contracts were awarded in 9 months 2025, including [Technical Difficulty] three contracts for more than EUR 100 million in Q3. Do not forget that year-on-year change in order intake at Bouygues Construction is not representative, given fluctuations in the award of large contracts. As a reminder, 9 months 2024 order intake included several major contracts, notably the Torrens to Darlington Highway contract worth more than EUR 2 billion, creating a particularly strong basis of comparison. And as I already mentioned in previous calls, please also note that additional significant contracts are expected by mid-2026. At Bouygues Immobilier, residential reservations stood at EUR 0.9 billion at end September 2025. To be noted, an improvement year-on-year [Technical Difficulty] residential unit reservations [Technical Difficulty] and stable in volume in a still changing market environment and a decrease in block reservations. Two small positive signs are to be noted. Sell-off and cancellation rates improved year-on-year. Last, as we have already said many times, the commercial property market remains at a standstill. Now let's have a look at sales on Slide 11. Sales were up 2% year-on-year and 3% like-for-like at constant exchange rates. First, sales were up 1% year-on-year at EUR 11.9 billion, driven by Rail up 12%. This growth being supported notably by Egypt, France and Germany. Roads were stable with France up 2%, EMEA up 2%, Asia Pacific strongly up 19%, and North America down 5%. Colas sales were up 2% year-on-year at constant exchange rates. Second, Bouygues Construction sales were up 4% year-on-year [indiscernible] driven by its three segments of activity, all up year-on-year. Bouygues Construction sales were up 5% year-on-year at constant exchange rates. Last, at Bouygues Immobilier, sales were down 6% [Technical Difficulty] EUR 0.9 billion with residential property down 4% year-on-year, restated for the disposal of activities in Poland. Next slide. Current operating profit from activities of the construction businesses was EUR 591 million, improving EUR 115 million compared to 9 months 2024, driven by the three business segments. COPA at Colas was slightly up year-on-year, improving by EUR 11 million with the [indiscernible] margin from activities improving 0.1 points at 2.7%. COPA at Bouygues Construction was strongly up year-on-year, increasing by EUR 45 million and with 0.4 points COPA margin improvement at 3.3%. At Bouygues Immobilier level, COPA was up EUR 59 million year-on-year. It includes some one-off items, representing a global amount of EUR 27 million with the disposal of Poland activities in particular. Now I'll hand over to [Technical Difficulty] who will comment Equans results.
Stéphane Stoll: Thank you, Pascal. Good morning, everyone. Let's move to Slide 14. Equans backlog at end of September 2025 was stable year-on-year at EUR 25.8 billion. Order [Technical Difficulty] 9 months of 2025 stood at EUR 13.9 billion, a high level close to the one of September 2024. It is worth noticing that order intake in contracts of less than EUR 5 million was up year-on-year [Technical Difficulty] representing more than 2/3 [Technical Difficulty] intake. On the other hand, order intake in projects of more than EUR 5 million was down year-on-year, reflecting a high basis of comparison in 2024 and a wait-and-see stance in some areas of activity, notably in [Technical Difficulty] data centers in Europe and on the EV market. In parallel, we continue to observe a gradual improvement in the order intake margin. As for sales, they were down 2% year-on-year in the 9 months 2025. This essentially reflects three main items. First, [indiscernible] the continued careful selection of [Technical Difficulty]. Second, a proactive exit from nonstrategic activities, notably the new business in the U.K. that we mentioned in the previous publications. And third, a temporary slowdown in relation to the wait-and-see stance in data centers and gigafactories I mentioned earlier. First 9 months sales were also impacted by a negative exchange effect of minus EUR 55 million. This effect concentrated in Q3, sales being impacted by a negative minus EUR 66 million over the quarter. As such, Q3 sales down 4.2% year-on-year were down 2.8% year-on-year at constant exchange rates. Equans contribution to the group's COPA represented EUR 565 million, a significant increase of EUR 91 million year-on-year with a 4.1% COPA margin up 0.7 points year-on-year, confirming the continued successful execution of the Perform plan. Let me finally give you some updates on our recent M&A developments. Equans secured four bolt-on acquisitions in this quarter in Germany, Austria, Italy and North America, around EUR 180 million of full year sales. These acquisitions are in line with the strategy shared during the Capital Market Day back in 2023. To end with Equans on Slide 15, let me just add that in [Technical Difficulty] 2025, Equans will continue its strategic plan and is aiming at achieving a slight decrease in sales versus 2024 at constant exchange rate given: one, the proactive exit from remaining nonstrategic and nonperforming activities; and second, the temporary slowdown in some areas of activity. And Equans is also aiming at achieving a margin from activities close to 4.3%, up from the 4.2% mentioned end of July. Finally, Equans confirmed it is targeting a cash conversion rate, which is COPA to cash flow before working capital requirement of between 80% and 100%. And as a reminder, Equans aims to gradually catch up with the organic growth of sector peers and to achieve a margin from activities of 5% in 2025. Now Christian is going to detail Bouygues Telecom's main figures.
Christian Lecoq: Thank you, Stéphane, and good morning, everyone. Before turning to Slide 17 and entering into the 9 months and the third quarter performance of Bouygues Telecom, I would like to say a few words about the integration of La Poste Telecom within Bouygues Telecom. It has now been 1 year since we [Technical Difficulty] completed the acquisition of La Poste Telecom [Technical Difficulty] have already achieved several successful milestones, notably: first, the strengthening of our mobile business, thanks to La Poste Telecom's customer base and the vast distribution network of over 6,000 post office of La Poste Group; and second, the promising [Technical Difficulty] fixed commercial offers [Technical Difficulty] in September 2025. Since October 2025, new La Poste Mobile's customers have access to Bouygues Telecom's mobile network and can benefit from [Technical Difficulty] services such as 5G or [Technical Difficulty]. That being said, performance has remained this quarter, solid and fixed, as you can see on Slide 17. FTTH continued to experience strong growth with 371,000 new customers during the first 9 months [Technical Difficulty] third quarter. With a total of 4.6 million customers, FTTH customers represented 85% of our fixed customer base, up from 79% 1 year ago. This is the result of a wider FTTH [Technical Difficulty] combined with the excellent quality of our network and services. As we have already achieved a very high level of migrations from DSL to FTTH, we will certainly observe a logical slowdown in these migrations in the coming quarters. Please also note that the target of 40 million FTTH premises marketed have been reached more than 1 year ahead of schedule, which is also a very good achievement. You can also see that we had a total of 5.3 million fixed customers at end September 2025. This represents an increase of 184,000 customers in the 9 months, of which 79,000 in the third quarter. This good momentum is driven by both: first, B.iG and B&YOU Pure Fibre offers with customer satisfaction improving and churn lowering. And second, as I have already mentioned, the promising launch of the fixed commercial offers of La Poste Telecom in September 2025. The momentum remained also good on value with fixed ABPU up EUR 0.2 year-on-year at EUR 33.4 per client and per month. As you can see on Slide 18, the commercial performance was good in mobile in a mature and still competitive market. We observed ongoing positive effects of B.iG on customer satisfaction and churn, and continued growth of converged households and [Technical Difficulty] per household. At September 2025, Bouygues Telecom had 18.5 million mobile plan customers, excluding MtoM; thanks to 231,000 new customers in the first 9 months, of which 125,000 in third quarter. Mobile ABPU, including La Poste Telecom, was stable versus Q2 2025 at EUR 17.3 per client and per month. It reflects continued low pricing for new customers in the low-end segment and the dilutive effect of La Poste Telecom as expected. Let's have a look at the key figures on Slide 19. As a reminder, La Poste Telecom has been consolidated in Bouygues Telecom's financial statements since 1st November 2024. That being said, we achieved a 5% growth in sales billed to customer year-on-year, broadly stable, excluding La Poste Telecom. Total sales were up 4% year-on-year with 3% growth in other sales. EBITDA, after leases, was stable year-on-year at EUR 1,505 million. This stability is explained by an increase in sales billed to customers and ongoing efforts to control costs, compensated by second, higher energy costs due to the end of very favorable hedging conditions between 2020 and 2024. The current operating profit from activities was down EUR 94 million at EUR 509 million, reflecting the increase in G&A in line with our CapEx trajectory and of course, the higher energy costs I already mentioned. Last, you can notice that gross CapEx was EUR 1,036 million in 9 months 2025. I'll remind you that the CapEx are nonlinear over the year. Moving to Slide 20. Let me remind you Bouygues Telecom's 2025 targets. First, sales billed to customers, including La Poste Telecom, would be higher than in 2024. Second, sales billed to customers like-to-like, excluding La Poste Telecom, are expected to be close to the level of 2024. The figure will be either slightly higher or slightly slower, depending on the duration and intensity of the competitive pressure currently [Technical Difficulty]. Third, EBITDA after leases will be broadly stable compared to 2024. In 2025, Bouygues Telecom will no longer benefit from the very favorable low hedged energy prices arranged in 2020 and 2021. La Poste Telecom’'s contribution to EBITDA after leases will be limited in 2025, with the full effect expected from 2028. And last, gross capital expenditures, excluding frequencies, is expected at around EUR 1.5 billion, including [Technical Difficulty] expenditure related to -- for the migration of La Poste Telecom Mobile customers. Pascal, I now let you share a few words on TF1.
Pascal Grangé: Thank you, Christian. Turning to Slide 22. Let's talk briefly about TF1's results, which were released on the 30th [Technical Difficulty]. First, the TF1 Group reinforced its audience leadership. Among them, the total audience share among women under 50 who are purchasing decision-makers was at 33.8%, up [Technical Difficulty] the total audience share among individuals aged 25 to 49 was at 30.7%, up 0.7 points. Second, in the 9 months 2025, [Technical Difficulty] were stable year-on-year. Media sales decreased by 1% year-on-year with advertising revenues down 2%, and the continued strong growth momentum for TF1+, up 41% year-on-year. Studio TF1 posted revenues up 11% year-on-year, including a EUR 25 million contribution from JPG. Third, COPA amounted to EUR 191 million, slightly down EUR 7 million, and COPA margin was at 11.9% in 9 months '25, down 0.5 points year-on-year. It includes a cost of program of EUR 662 million. The slight decrease versus the 9 months 2024 was due notably to the base effect related to the EURO 2024 football tournament. Please also note that there was a capital gain of EUR 17 million in relation with the disposal of My Little Paris and PlayTwo recorded in Q3 2025. As a reminder, in Q3 2024 [Technical Difficulty] had a capital gain of EUR 27 million in relation to the disposal of the Ushuaia brand license. Turning to Slide 23. I will end by saying that the TF1 Group confirmed the following targets. A strong double-digit revenue growth in digital. On the dividend side, aiming for a growing dividend policy in the coming years. After observing that domestic instability adversely impacted ad market in October, first indications are also below expectations in November visibility until year-end. As such, TF1 has adjusted its 2025 guidance for margin from activities to a level between 10.5% and 11.5%. Previously, TF1 Group was targeting a broadly stable margin from activities compared to 2024, which was 12.6%. Stéphane, I'm now going to -- Stéphane is now going to comment on the group's key financial figures.
Stéphane Stoll: [Technical Difficulty] start with the P&L on Slide 25. We have already discussed 9 months sales and current operating profit from activities at the beginning of this call. I will thus focus on the bottom part of the P&L this morning. First, PPA was minus EUR 77 million, [Technical Difficulty] includes mainly EUR 35 million recorded at Bouygues SA level in relation to Equans, and EUR 26 million recorded at Bouygues Telecom level. Second, other operating income and expenses, which do not reflect operational activity were negative at minus EUR 151 million end of September 2025. This amount is largely due to, on the one hand, noncurrent charges in relation to the Equans management incentive plan, which represented EUR 66 million, an amount split between Equans and Bouygues SA. On the other hand, some provision recorded at Bouygues Construction and Colas, respectively, in relation to a change in regulation in U.K. and to recent developments relating to an international project at Colas Rail dating back to 2011. Third, financial result, which comprise [Technical Difficulty] cost of net debt, interest expense on lease obligation and other financial income and expenses stood at minus EUR 305 million, an amount close but a bit higher than to that of the 9 months of 2024. Fourth, a tax charge was recorded for EUR 443 million, higher than last year in relation to higher operational results. This amount excludes the EUR 71 million of exceptional income tax surcharge for large companies in France. Fifth, [Technical Difficulty] the tax surcharge on the net result attributable to the group was minus EUR 60 million, leading this result to reach EUR 675 million, down EUR 12 million versus last year. Excluding this tax surcharge, the net result attributable to the group [Technical Difficulty] have been up EUR 48 million this year, as already mentioned by Pascal. Let's now turn to Slide 26 to describe the net debt evolution between end of December 2024 and end of September 2025. As you can see, net debt increased by around EUR 1.6 billion since the end of 2024. This negative change is quite usual and related to the seasonality of our activities. The good news is that the magnitude of the increase in the net debt is significantly lower than that of last year, which was around EUR 2.2 billion. This increase includes, first, acquisitions net of disposals totaling minus EUR 118 million achieved at Colas, Equans, Bouygues Immobilier and TF1, as well as investment in joint ventures at Bouygues Telecom and purchase of TF1 shares. Second, capital transactions and other for EUR 155 million including largely exercise of stock option. Third, dividends for a total of EUR 864 million, including EUR 755 million from Bouygues' shareholder, the remaining part being almost entirely paid to Bouygues Telecom and TF1 minority shareholders. And last, minus EUR 725 million from operations that I will comment on the next slide. So turning to the change in net debt [Technical Difficulty] for the first 9 months of 2025 on this Slide 27, you can observe that it breaks down as follows. On the one hand, net cash flow, including lease expense stood at EUR 2.7 billion, an improvement of EUR 162 million compared to the first 9 months [Technical Difficulty]. And on the other hand, net CapEx was EUR 1.5 billion, a slightly lower amount compared to the first 9 months of 2024. As such, our free cash flow before working capital requirements was EUR 1.2 billion, [Technical Difficulty] higher versus last year. on the chart that the change in working capital requirements and other stood at minus EUR 1.9 billion, a usual negative change at this period of the year. I will now turn our attention to the group financial structure on Slide 28. You can see the group maintained a very high level of liquidity at EUR 14.4 billion, which comprised EUR 3.1 billion in cash and equivalents, and EUR 11.3 billion in undrawn medium- and long-term credit facilities. Both shareholders' equity and net debt improved significantly versus end of September 2024. As a result, net gearing reached 53% at end of September 2025, an improvement compared to 61% at end of September 2024. And you can see from the chart on the right-hand side that the debt maturity schedule is well spread over time. I remind you that our next bond redemption is in October 2026. Last, I want to highlight that the group benefits from the strong credit ratings. At Standard & Poor's, our rating is A-, and the outlook associated to this rating has been revised in September from negative to stable. At Moody's, our rating is A3 with a stable outlook. Pascal, I'm giving you back the floor for the conclusion.
Pascal Grangé: Indeed, I will end this presentation on Slide 30 by saying that in a very uncertain global environment, the group's six business segments continued to prove their ability to keep pace with developments in their respective markets. They also pursues their efforts to improve profitability. [Technical Difficulty] we are targeting a slight increase in current operating profit from activities versus 2024. Second, [Technical Difficulty] we specified that group's 2025 sales are expected to be slightly up versus 2024 at constant exchange rates. And that given fluctuations in currencies, notably those related to the U.S. dollar, group sales as published are now expected to be close to the level of 2024. I'll remind you that previously, the group -- the Bouygues Group was targeting for 2025 a slight increase in sales and in current operating profit from activities versus 2024. Last, the effects on profit -- on the net profit attributable to the group of the French Finance law and the Social Security financing law [Technical Difficulty] first quarter of 2025, remain estimated to date at around EUR 100 million for 2025. We have finished our presentation, and we thank you for your attention. We are now with Stéphane and Christian ready to answer your questions. Operator, please open the floor for questions.
Operator: [Operator Instructions] The next question comes from Carlos Caburrasi from Kepler Cheuvreux.
Carlos Caburrasi: Just a quick one from my side. You're again upgrading Equans 2025 margin target, but your 2027 view remains unchanged. So I was wondering if there's anything here that we're missing or if it's likely that by 2027, the margin will be above 5%. And if you allow me, hypothetically, where do you see Equans' margin by 2030? Does 6%, 7% seem a reasonable assumption?
Stéphane Stoll: Well, we -- nothing changed since our last publication. We are indeed very pleased that Equans is moving down to 4.3% this year. We confirm that our target for now for 2027 margin [Technical Difficulty] at 5% as per our guidance from -- dating back from Capital Market Day in 2023. We are confident that we will be able to achieve this 5% margin. For now, we don't want to communicate anything else. And as to your question to the 2030 margin at Equans, let me simply state as we already stated in our last publication, that we see no reason why Equans would not be capable of achieving margins which [Technical Difficulty] are close or similar to the one that's our aim, mid long term. So that's what I can answer to your two questions.
Operator: The next question comes from Mathieu Robilliard from Barclays.
Mathieu Robilliard: I had a few questions. First, if I may ask, I mean you made an offer, along with other players for Altice assets. Yes, the offer was refused. You didn't change your beat. I just wanted to check if you could confirm you're still in discussion with Altice at the moment? The second one was on taxes. You flagged the impact of the change in the corporate tax in 2025, there's no discussions in the French Parliament, but 2026 would be about the same. So obviously, this has not been finalized and a lot of things can still change. But in principle, if the current proposal was to be passed, does it mean that the corporate tax that you pay in 2026 would be similar to the impact you saw in 2025 about EUR 100 million? And lastly, on telecoms, I had a question about the ARPU. So Christian, you mentioned that the ARPU including La Poste, it's flat quarter-on-quarter. I was wondering if we look at ARPU, excluding La Poste, what was the trend in Q3 compared to Q2? Is it getting a bit worse? Is it stabilizing? Obviously, it's a very competitive environment, but any color in terms of the more recent trends would be great.
Pascal Grangé: First, I will answer to the question related to taxes. In fact, if the current law was to be passed this year, we will have an additional impact this year related to the -- that this additional tax is based on level of tax [Technical Difficulty] this year. So we will have to renew a new charge of around approximately EUR 40 million to EUR 50 million this year. I mean [Technical Difficulty] we have the remaining part. Overall, it will be a bit lower because -- overall the second part of this additional tax will be paid in 2026.
Stéphane Stoll: Okay. On the Altice situation, as you rightly mentioned, we -- and as you know, we submitted a joint offer on October 14. And then as you know, this offer was promptly rejected by Altice on the next day. So for now, to be honest, we are not in discussion. We are hopeful that we are capable of entering into [Technical Difficulty] in the coming weeks. Since we believe that this EUR 17 billion offer that we submitted to be quite attractive for at least two major reasons: it offers a valuation of significantly more than EUR 21 billion for Altice, taking into account the valuation of the assets, which are not part of our proposal, such as XP Fibre. It thus represents a significant premium compared to the value estimated by brokers. As you know, some EUR 17 billion increase [Technical Difficulty] synergies leads to an attractive equity value for Altice shareholders. And on the -- we also believe it's an attractive offer because it provides a global solution for most of Altice France assets. So I believe -- we believe it represents a credible [Technical Difficulty] very lengthy and highly uncertain. So we are not in discussion for now, but we are still hopeful that we will be capable of entering such discussion into the near future.
Christian Lecoq: Regarding mobile ABPU, mobile ABPU for Bouygues Telecom excluding La Poste Telecom, was at EUR 18.4, so plus EUR 0.1 compared to Q2, 2025. You can find all the figures at the end of the presentation in the annex on the website. I'll just remind you that usually in Q3, ABPU is better or higher because of roaming impact. We have positive roaming impact in Q4.
Operator: The next question comes from Rohit Modi from Citi.
Rohit Modi: I've got two basically. Firstly, on your guidance -- full year guidance. I understand the revenue guidance, flat revenue guidance would imply a decline -- kind of decline in revenue in 4Q, but your COPA guidance, slight increase still leaves some room for a decline or upside. I mean, if you can directionally guide us how we should see COPA, whether it's declining, flat or continue to increase in 4Q. That would be great. Second question is, again, sorry, on consolidation. Just trying to understand what happens in a no-deal scenario. How do you see -- are there any assets that can still go ahead and buy from SFR without having the consortium going for a joint bid? And how do you see the market if there is a no deal? Is that getting worse from here? Or you see the same kind of conditions?
Stéphane Stoll: Okay. On your first question regarding the full year guidance, what we can simply say for the Q4 2025 COPA, of course, this quarter is not [Technical Difficulty] So it's difficult to answer. But I'll remind you that Q4 2024 COPA was EUR 816 million and Q4 2025 COPA would probably in the same order of magnitude than this Q4 2024.
Pascal Grangé: Please, I'll remind you that, in fact, there is no -- we have some exchange rate effects, but this exchange rate effects does not affect our profitability, in fact, because, in fact, we are very local. So [Technical Difficulty] our expenses are in the same current -- the currency of our revenues. So there is no ForEx significant impact, I mean.
Stéphane Stoll: On the consolidation and the no-deal scenario, [Technical Difficulty] this is still possibility. So what will change the market will remain as it is today with four competitors, and we believe that Bouygues Telecom will be capable of delivering its continued [Technical Difficulty] it's current state and delivering results in line with the strategy. So nothing more specific to comment, I believe, on this specific topic.
Rohit Modi: And will there be any other effect that in case there is no group deal you can still buy from SFR that SFR will be willing to sell?
Stéphane Stoll: For now, our consortium stands, our offer was confirmed. We are hopeful that we are -- we'll be still capable of entering into construction discussion with Altice in the coming weeks. It's -- we believe this deal to be of interest for all stakeholders. And so we are hopeful that we will be able at some point in time to convince Altice to change its mind.
Operator: [Operator Instructions] The next question comes from Mollie Witcombe from Goldman Sachs.
Mollie Witcombe: Just a couple of questions from me, please. Firstly, I'm just wondering how you're thinking about group capital allocation and shareholder remuneration in the context of the French offer. How long do you wait before looking to pursue potential other options in other businesses? Are you still looking at potential M&A options in other businesses even as this is kind of ticking along in the background? And then my second question is just on Equans top line trends. You have talked about the connection to the slowdown in data centers, et cetera. I'm just wondering, do you feel that this is more industry-wide? Is there a kind of reason why Equans in particular, is seeing this trend? And how you're thinking about it going into next year? Should we expect this to continue into kind of H1 and beyond? Or how should we think about this in the midterm?
Pascal Grangé: I will answer your first question. In fact, you have seen that our financial structure is very strong and the idea of maintaining a very strong financial structure is to be able to deliver [Technical Difficulty] all our business lines. And so we have obviously this important project of consolidation of the telecom market in France. But in the meantime, we are studying and we are working on some M&A for the other business lines. There is no relationship of these different of -- the development of all business lines is independent of what we do on SFR. So [Technical Difficulty] and we have some [Technical Difficulty] either in construction, in Equans, in Colas, no issue in that respect.
Stéphane Stoll: As you know, we communicated on a significant acquisition that we are pursuing in the U.S. for Colas. And as I mentioned, we [Technical Difficulty] secured Q3 quarter at Equans for bolt-on acquisitions in Germany, Austria, Italy and the U.S. So confirming the strategy of bolt-on acquisition that we presented back in 2023. On trends, we certainly believe that the temporary slowdown that I mentioned on the data centers in Europe and the EV battery gigafactory [Technical Difficulty] is definitely industry-wide specific to Equans. Having said that, we still believe that fundamentally, the markets on which Equans operates are strong and will provide interesting development opportunities. So we do not expect any further significant slowdown for now. And so that -- we believe that Equans is on a continued path. We mentioned and we confirm that we expect to -- we expect Equans to get close to its peers in terms also of organic growth. [Technical Difficulty] the plan, and we are not worried at all for next year. Equans markets are resilient. We are at the heart of three long-lasting transition, energy transition, industry transition, digital transition, and that will not change.
Operator: The next question comes from Eric Ravary from CIC.
Eric Ravary: Two from my side. First one is on Bouygues Construction, it's very strong COPA figure in Q3. Could you give us any comment on this performance? Is it linked to one specific project? And second question is on Equans. Could you give us the share of data centers and gigafactories in the order intake in the 2024 to assess what is a decrease of all of the order intake in '25?
Pascal Grangé: First, I will answer on Bouygues Construction. In fact, our aim for -- there is a Bouygues Construction cycle in projects, which are huge projects and the profitability could vary from 1 year to the other. But there is no very specific items this year, explaining the improvement of the profitability. We have a strategic plan in order to have Bouygues Construction raising profitability to 3% to 3.5%. So we are in that range, and this is due to that strategic plan. But no very specific reason. It's a good performance for Bouygues Construction for Equans.
Stéphane Stoll: On the gigafactories, as you know, just to answer your -- I don't have precise numbers available, but just gigafactories in Europe with the failure of Northvolt last year, the market is at a halt. So we don't have any significant order intake this year on this specific market, which explains the slowdown that we mentioned. And on the data center business, what we can say in general numbers is that we -- the order of magnitude of our revenues in this business is -- will be this year around EUR 800 million, and it's down more or less EUR 150 million year-to-year. Having said that, we believe we see a very positive trend this time in terms of order intake in data centers in the U.S. While the market is slow in Europe, this might change in the coming months, but it is quite strong in the U.S. and we were able to secure first project in U.S. and in Canada. And this will spell strong revenues next year in this business in the U.S. and Canada. Overall, we are not concerned by the trends, mid-term trends, especially in data center, whether in Europe or in the U.S. Of course, gigafactories, this remains probably -- will remain a slow market next year.
Operator: The next question comes from Stéphane Beyazian from ODDO BHF.
Stéphane Beyazian: Yes. I was wondering if you set -- if you have set yourself a deadline for getting to an agreement on the Altice bid or basically talks could resume whenever could be 1 month, in 3 months or in 6 months. Second question, I was also wondering how important infrastructure assets of SFR are in your offer. According to the press, Altice is considering to sell some of its infrastructure assets. And I was wondering if such a sale would make a deal easier or more difficulty in the future.
Christian Lecoq: So regarding your second question, we share with two kinds of networks. The first one is the mobile network in medium dense area. I understood what I read in the press that the mobile network is not concerned by the willingness of SFR to sell some part of its network. The [Technical Difficulty] kind of network is the fiber network [Technical Difficulty] the horizontal part of the network. It's quite a small network and is not a problem for us if this network belongs to someone else. So no problem for...
Stéphane Stoll: And on the time line for now, we don't have any specific time line in mind, and it's whenever it will happen indeed, so.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Pascal Grangé: Thank you for joining us today. We'll be announcing full year 2025 results on 26th of February 2026. Should you have any question, please contact our Investor Relations team [Technical Difficulty] contacting for the press release and on our website. Thank you.